Operator: Ladies and gentlemen, thank you for standing by. Welcome to the SBA first quarter results call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference over to our host Mr. Mark DeRussy, Vice President of Finance. Please go ahead.
Mark DeRussy: Thank you. And good morning, and thank you for joining us for SBA's first quarter 2015 earnings conference call. Here with me today are Jeff Stoops, our President and Chief Executive Officer; and Brendan Cavanagh, our Chief Financial Officer. Some of the information we will discuss on this call is forward looking, including, but not limited to any guidance for 2015 and beyond. These forward-looking statements may be affected by the risks and uncertainties in our business. Everything we say here today is qualified in its entirety by cautionary statements and risk factors set forth in last night's press release and our SEC filings, which documents are publicly available. These factors and others have affected historical results, may affect future results and may cause future results to differ materially from those expressed in any forward-looking statement we may make. Our statements are as of today, April 24, 2015, and we have no obligation to update any forward-looking statement we may make. Our comments will include non-GAAP financial measures as defined in Regulation G and other key operating metrics. The reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures and other information required by Regulation G has been posted on our website, sbasite.com. With that, I'll turn it over to Brendan to comment on our first quarter results.
Brendan Cavanagh: Thank you, Mark. Good morning. As you saw from our press release last night, we had another strong quarter in all areas. Notwithstanding FX headwinds during the quarter, we were above the mid-point of our guidance for site leasing revenue and met or exceeded the high end of our guidance for tower cash flow, adjusted EBITDA and AFFO. GAAP site leasing revenues for the first quarter were $369.7 million or a 19.5% increase over the first quarter of 2014. Domestic cash site leasing revenue increased 11.1% to $298.5 million and international cash site leasing revenue increased 92.5% to $57 million. Eliminating the impact of changes in the foreign currency exchange rates, site leasing revenue would have increased 22.7% over the year earlier period and international cash leasing revenue would've increased 121.8%. Our leasing revenue growth was driven by organic growth and portfolio growth, including our two recent acquisitions in Brazil. iDEN-related churn during the quarter had a negative impact of $1.4 million. We continued to experience solid leasing demand both domestically and internationally. Approximately two-thirds of our incremental leasing activity in the quarter came from new leases. The big four US carriers contributed approximately 70% of our consolidated incremental leasing revenue signed up in the quarter. Tower cash flow for the first quarter of 2015 was $284 million or a 19.6% increase over the year earlier period. Eliminating the impact of changes in foreign currency exchange rates, tower cash flow would've increased 22% over the first quarter of 2014. Tower cash flow margin was 79.9% compared to 79.6% in the year-earlier period. Our services revenues were $40.4 million compared to $36.2 million in the year-earlier period. Services segment operating profit was $9.5 million in the first quarter compared to $8.8 million in the first quarter of 2014. Services segment operating profit margin was 23.5% compared to 24.3% in the year-earlier period. SG&A expenses for the first quarter were $29.9 million, including non-cash compensation charges of $6.9 million. SG&A expenses were $24.7 million in the year earlier period, including non-cash compensation charges of $4.5 million. The increase in cash SG&A over the first quarter of 2014 was due primarily to increases in personnel and other support costs associated with our portfolio expansion over the last 12 months, as well as an increase in medical insurance costs. Adjusted EBITDA was $271 million or an increase of 19.6% over the year-earlier period. Eliminating the impact of changes in foreign currency exchange rates, adjusted EBITDA would've increased 21.9% over the year-earlier period. Adjusted EBITDA margin was 68.5% in the first quarter of 2015 compared to 67.8% in the year-earlier period. Approximately 97% of our total adjusted EBITDA is attributable to our tower leasing business. AFFO increased 20% to $184.6 million compared to $153.8 million in the first quarter of 2014. AFFO per share increased 19.5% to $1.41 compared to $1.18 in the first quarter of 2014. Combined changes in the Brazilian and Canadian exchange rates during the first quarter versus the rates assumed in our guidance negatively impacted leasing revenue by $1.2 million and adjusted EBITDA and AFFO by approximately $700,000 each. Net loss during the first quarter was $79 million compared to net income of $1.4 million in the year-earlier period. Net loss for the first quarter of 2015 included an $84 million loss on the currency-related remeasurement of a US dollar denominated intercompany loan with our Brazilian subsidiary. Net loss per share for the first quarter of 2015 was $0.61 compared to net income per share of $0.01 in the year-earlier period. Quarter-end shares outstanding were 129.4 million. In the first quarter, we acquired 59 communication sites for $42.6 million in cash. SBA also built 107 sites during the first quarter. We ended the quarter with 24,393 sites, 15,151 of these sites are in the US and its territories, and 9,242 are in international markets. Total cash capital expenditures for the first quarter of 2015 were $121.4 million consisting of $7.4 million of non-discretionary cash capital expenditures, such as tower maintenance and general corporate CapEx and $114 million of discretionary cash capital expenditures. Discretionary cash CapEx for the first quarter includes $42.6 million incurred in connection with acquisitions, excluding working capital adjustments. Discretionary cash CapEx also included $31 million in new tower construction, including construction in progress and $22.2 million for gross augmentations and tower upgrades. The substantial majority of augmentation CapEx is reimbursed to us by our customers. During the quarter, we spent an aggregate of $14 million to buy land and easement and to extend ground lease terms. Our investments in land are both strategically beneficial and almost always immediately accretive. At the end of the quarter, we owned or controlled for more than 20 years the land underneath approximately 73% of our towers. At the end of the quarter, the average remaining life under our ground leases, including renewal options under our control is approximately 33 years. At this point, I will turn things over to Mark who will provide an update on our liquidity position and balance sheet.
Mark DeRussy: Thanks Brendan. SBA ended the first quarter with $8 billion of total debt. We had cash and cash equivalents, short-term restricted cash and short-term investments of $108.6 million. Our net debt to annualized adjusted EBITDA leverage ratio was 7.3 times. Our first-quarter net cash interest coverage ratio of adjusted EBITDA to net cash interest expense was 3.5 times. During the quarter we settled the remaining outstanding warrants related to our 4% convertible notes for $150.9 million in cash, of which $15.6 million was actually paid in the second quarter. There are no further obligations related to the 4% notes or these warrants. Also, during the first quarter we amended our revolver by increasing the size of the facility from $770 million to $1 billion and by extending the maturity date to February 2020. We also reduced the interest spread by between 37.5 basis points and 50 basis points depending upon the leverage at the borrower level. We currently have $235 million outstanding under the revolver and based on specified covenants we have available to us today $765 million. At the end of the quarter, our total debt carried a weighted average coupon of 3.9% and a weighted average maturity of just under 5.5 years. We did not purchase any shares of common stock during the quarter and currently have $150 million remaining under our existing $300 million authorization. With that, I’ll turn the call over to Jeff. 
Jeffrey Stoops: Thanks, Mark and good morning everyone. As you’ve heard we started the year with solid results, exceeding either the midpoint or the high end of our guidance across almost all key financial metrics. Organic leasing activity and strong expense control were the primary reasons for our outperformance. We continued to see solid demand across our entire portfolio both domestic and international as well as in our services segment. Projections of smartphone penetration and use of wireless data remain robust. Corporations as varied as Google, Facebook, IBM, General Motors and Microsoft have materially increased their focus on and investment in wireless which is expected to further increase usage. Satisfying this type of growth will require additional network capacity either in the form of more spectrum, more infrastructure or as has historically been the case, both. Carrier willingness to invest in additional network capacity has been well evidenced recently with the AWS-3 spectrum auction in the US as well as other spectrum auctions internationally. We expect solid levels of activity for years to come as carriers increase [ph] their network capacity as use of wireless data, including voice over LTE marches ever higher. The revenue opportunities for SBA from the AWS-3 spectrum auction alone should last for years once deployment has begun which we expect sometime in 2016. After that is the planned 600 MHz auction which we think will bring similar opportunities to SBA. The need for and the catalyst behind additional network investment continue on and we see no end in sight. These dynamics are at play in all our markets both domestically and internationally. In the first quarter, we experienced solid leasing demand across our entire portfolio both domestic and international. Same tower cash leasing revenue growth compared to the year ago prior period was 10.5% on a gross constant currency basis and 7.5% on a net of churn basis, including iDEN related churn. Our domestic same tower growth rate was 10.8% on a gross basis and 7.3% on a net basis while our international organic growth rate was 10% both gross and net on a currency neutral basis. Our international growth rate reflects the initial inclusion of 2100 low-cost wireline towers we purchased in Brazil and our initial Oi acquisition. We attribute our leasing success to a combination of quality assets, strong execution, good contracts and excellent demand from our customers. In the first quarter, in the US the leasing demand environment was similar to that which we experienced in the fourth quarter of 2014 and consistent with our expectations when we first put forth our 2015 outlook in November. Solid but below the record activity levels we saw in the first three quarters of 2014. In total we executed high numbers of both new tenant leases and amendments. Revenue from new leases was greater than that from amendments and represented approximately 60% of the incremental leasing revenue in the United States. Verizon and T-Mobile represented the majority of our new business in the quarter. AT&T was active but at reduced levels compared to the year ago period. The reduction in activity with AT&T was expected and it’s not surprising or concerning given the large amounts invested by AT&T in the prior 36 months. Contributions from Sprint due to its 2.5 GHz and Clearwire upgrade projects remained about the same as the last several quarters with an increasing amount of discussion around Sprint's next-generation network plans. Our backlogs continue to be healthy. We continue to expect that leasing activity levels will be higher in the second half of the year which depending on timing may or may not impact 2015 results. At a minimum this would bode well for 2016. We continue to see strong activity in our international markets. As expected, new leases represented the majority of the activity contributing approximately 80% of the total incremental international leasing revenue added in the quarter. International cash leasing revenue and tower cash flow growth grew materially year-over-year once again primarily due to portfolio growth. International tower cash flow margins were strong although below year-earlier margins due to the two Oi acquisitions we closed last year. GAAP requires us to mark-up our revenue and expenses by the amount of ground lease expenses reimbursed to us by our customers, so the true economic cash flow margins in Brazil are much higher. I continue to be pleased with the progress we're making in Brazil and look forward to continuing our positive momentum. While we are disappointed with the negative movement of the Brazilian real against the US dollar and the resulting impact on our 2015 outlook, we remain convinced that Brazil will be an excellent long-term investment. While the near-term economic picture in Brazil is challenging, demographic trends, smartphone sales, network needs, new spectrum and the competitive carrier dynamic all lead us to continue to believe that Brazil will be a growth market for network investment for many years to come. Our investment focus for Brazil for the remainder of the year will likely focus on new builds and smaller acquisitions and we would like to reinvest all Brazilian reais we are generating back into the business. Our services segment produced another quarter of strong results for us in the first quarter, once again with the primary contributor being Sprint as well as solid activity levels with T-Mobile and Verizon. We expect a steady services segment contribution through all of 2015. Our operational performance across the entire company was very strong. In the first quarter we posted record tower cash flow margins in the US of 81.9%. Strong tower cash flow and services margins drove our adjusted EBITDA margin to a record 68.5%. We think to have produced that level of margin while growing materially internationally and increasing SG&A expense to manage that international growth is a real accomplishment. The strong adjusted EBITDA results we had in the first quarter drove our equally strong AFFO and AFFO per share results. Our updated 2015 outlook reflects essentially the same views on carrier activity, organic growth rates and services as we put forth in November, increased for some additional investment portfolio growth but decreased to a greater extent from unfavorable changes in the Brazilian real to US dollar exchange rate. Our 2015 outlook now contemplates approximately 9% gross, same tower cash revenue growth on a constant currency basis before iDEN churn. We have included no material contribution in 2015 from DISH, Public Safety or any other customer that was not reasonably active in 2004. Our balance sheet remains in great shape and additional capital, if needed, remains readily available. We intend to continue our balance sheet strategy and maintain our existing leverage targets as we believe them to contribute materially to shareholder value creation. We have returned our focus on capital allocation back toward portfolio growth and share repurchases. With respect to portfolio growth, we will look both domestically and internationally and believe that we will continue to find attractive opportunities that will meet our investment requirements. Our primary focus remains in the Western Hemisphere. Our new tower build activities are off to a good start and we are reaffirming our goal of 5% to 10% portfolio growth in 2015 while maintaining our target leverage levels. If we are successful in consummating some additional acquisitions, I would expect our 2015 outlook to increase. I want to thank all of our employees for their hard work in the first quarter and our customers for continuing to entrust us with their business. We look forward to continued success as we move through 2015. And Christie, at this time we’re ready for questions. 
Operator: [Operator Instructions] And we’ll go directly to the line of Jonathan Atkin with RBC. 
Jonathan Atkin : I was interested in your thoughts on the DAS opportunity and how you might participate in that apart from your existing minority stake in ExteNet and then internationally I was interested in – I didn’t quite understand the 80% number, new leasing 20% and then if you strip out portfolio growth I guess what I'm interested in is particularly in Brazil, what's driving the growth on the same store basis, is it new leases or is it amendments, coverage build, et cetera?
Jeffrey Stoops: I will cover the international, first, Jonathan. Yes, the 80% is not portfolio growth, it’s incremental revenue. So obviously 80%, vast majority of that activity is coming from new leases as you would expect in markets like Brazil where there is still tremendous coverage needs. On the DAS side, the business certainly has some attractions. We are participating today in terms of a number of small cell deployments. We’re actually signing up a bunch of small cells on a number of our towers. It's interesting they are generally being placed at the 30 foot mark and we’re getting what we think are some very fair and good rents for that. So we continue to watch the area, it looks to be developing positively. And we expect to continue to pay attention there.
Jonathan Atkin : And any thoughts on what's going on in Mexico, from an outside perspective goal or potentially participating in that market?
Jeffrey Stoops: I think we’re going to continue to watch how things develop particularly with the Telesat spinoff and see what that does to tower competition in that market. 
Operator: And our next question is from Ric Prentiss, Raymond James.
Ric Prentiss : First question I have got is on the external growth. Last quarter you guys mentioned, you thought some more deals might close by the end of 2Q and now it seems like those deals have maybe slipped into 3Q. Talk a little bit about the timing of closings and also prices being paid, it seems like price per tower is high, that’s not the best metric but we don't really get to see how much tower cash flow is coming in?
Brendan Cavanagh: Hey Ric, it’s Brendan. On the timing, as we sign up few additional deals, we’re basically letting you know that we expect all of the deals that under contract to close by the end of the third quarter, some of them will probably close during the second quarter which you could probably tell from our guidance around second-quarter CapEx. So it’s not really slippage in terms of timing, it’s more just added some deals that will actually be in the third quarter. 
Jeffrey Stoops: Yes, Rick, on the pricing, there continues to be a strong bid for quality US tower assets. Depending on the maturity of the asset, we’re looking at high teens to low 20s tower cash flow multiples. 
Ric Prentiss : And any update on your NOLs and the reconversion. The reason I ask is the MSCI is going to introduce the new real estate section which could attract some more generalist into the tower space but only through a REIT. 
Jeffrey Stoops: Well, Brendan, why don’t you give you an update on the NOL and I will share our thoughts on reconversion. 
Brendan Cavanagh: Yes, we still have a substantial federal NOLs, it's approximately $1.3 billion today. We did have a little bit of taxable income in 2014 but it was minuscule to say the least. So we still have pretty much our full NOL at this point and I think from a timing standpoint on reconversion we have done a lot of work to prepare ourselves to convert whatever we feel the time is right but as long as we have the NOLs and we feel good about our strategy I think for the time being, we’re content today on the same path. 
Jeffrey Stoops: Yes, I would only add to that, that we got ourselves ready to go with, Ric, when there were some proposals made a year, perhaps long ago now that looked like they could change the definitions and the qualifications for REIT status. That no longer appears to be a front burner item or even a mid burner item in Congress ahead of the presidential elections. So we’re continuing to watch all that carefully but as Brendan said we believe it’s in our best interest and those of our shareholders to not really convert into a REIT before we feel we have to.
Ric Prentiss : And from I think previously thought that was kind of on the back end of this decade, is that still kind of the thoughts?
Jeffrey Stoops: Yes maybe slightly earlier a lot of our investment has been done internationally which has less impact on our projections related to future losses in the US. So I would say somewhere around maybe 2018 would be the current estimate in terms of timing. 
Operator: Thank you. Our next question is from Phil Cusick with JPMorgan.
Richard Choe : Hey, this is Richard for Phil. Just wanted to follow up on the international. Are you seeing any negative impacts to the economy or the growth given the FX issues? And then on the small cells, it seems like this is a business that you might be able to develop on your own, is that something that we should look for?
Jeffrey Stoops: We could develop that business on our own and then as I mentioned earlier we are watching all aspects of that very carefully. So you should stay tuned on that front. And on the international side, there’s not any direct evidence that the reais and the Brazilian economy is directly impacting carrier activity but we believe in general, Richard, that there has to be some impact that has permeated all through the Brazilian society and the carriers down there are not immune to that. So I can't quantify for you what exactly that impact is but I do think the reais and the general economic conditions down there do have an impact. 
Operator: Thank you. Our next question is from David Barden, Bank of America. 
David Barden : Jeff, I think you alluded to the possibility that the second half would be much more heavily weighted in the first half. I guess Verizon and AT&T clearly under-spent in 1Q and reiterated their full year, are you getting a sense that maybe the second quarter isn't seeing a catch-up or is there any kind of caveat there? And then the second question was just in regards to your conversations with Sprint on the next generation plans. Are you getting any kind of color that there is a potential breakout here for the company on that as they do seem to be kind of lacking a network story, then we've heard so much about them working on it that it will be great to get your insights on where they are on that?
Jeffrey Stoops: Yes, on your first question, David, you're exactly right. We have not yet -- first of all, we do believe that carrier activity is going to pick up in the second half but we haven't seen it yet. And because we haven't seen it yet, we did not reflect it in an increase in our outlook. It’s really exactly that simple as to where things are sitting today. We do believe it's going to happen but until we actually see tangible signs of it, it’s not going to show up in our projections. So that's where we sit today. On the Sprint side, there's a lot of discussions going on and there are some pricing discussions going on and a variety of different things about the next generation network plans, very exciting and I think are going to bode very well for our company. What's unclear is the timing of that and whether that is going to have a material impact on our 2015 results. And again because we don't have certainty around that that is not included in our outlook.
Operator: And our next question is from Simon Flannery, Morgan Stanley.
Simon Flannery : Just going back to Brazil on the currency, can you just reminds us of the escalator structure to the extent that weaker currency drives inflation higher, presumably can we capture some of that by your escalators? So how does that work, what’s your portfolio looking like in terms of inflation exposure and then any sort of time like associated with that? And maybe you could just touch on Central America as well, any updates on the trends there?
Jeffrey Stoops: Simon, on the FX or escalators in our leasing contracts, all of our tenant leases in Brazil have escalators that are tied to an index -- a cost-of-living index, basically a CPI equivalent that reflects inflationary rates. So to the extent that those are higher which tends to be the case when we have this weakness that we are seeing relative to the US dollar in terms of FX rate they tend to be higher. The timing of us to get the benefit of that though depends on when those leases escalate and so they all escalate to dates. A lot of them escalate on the acquisitions that we did in terms of the leasebacks typically on the anniversary of the closing date. So for instance on April 1, we had a fairly sizable escalation due to the second Oi deal that we closed April 1 of last year and that was at a much higher rate than previous escalations we’ve seen but we generally don't see it until we actually hit those escalation dates.
Brendan Cavanagh: In terms of Central America, Simon, everything there is escalated on a fixed rate like we do in the US, so everything is paid in US dollars. But in terms of activity we had a great second-quarter Central America. We actually had a number of pleasantly surprising large deployments particularly in Panama that – for the entire region, put us well ahead of plan there for the year. So Central America continues to go very well for us. 
Operator: Our next question is from Colby Synesael, Cowen and Company.
Colby Synesael : You mentioned again I think the second-quarter now increased interest in buybacks, that obviously we didn’t see any in the first quarter. Is it fair to assume that we can see them as soon as the second quarter, just give us little bit more color on, is that what you are thinking right now or at least the buybacks and how that’s different? And then the second question, I think you mentioned your guidance contemplates same tower gross – excuse me, organic growth of around I think 9%. Can you break that out by international versus the US?
Jeffrey Stoops: On the stock buyback, Colby, everything we do from a capital allocation perspective starts with where we want to capitalize the company. So keeping the business levered at 7 to 7.5 times now that we've satisfied the warrants don't have to devote capital to that any longer. I mean we’re going to have a lot of money that we’re going to be able to invest. Our primary focus as it always has been, will continue to be portfolio growth but to the extent that we don't find opportunities there that we like that meet our return requirements we will be directing those funds towards stock buybacks. I am not going to sit and tell you how much on any particular quarter, I don’t think that’s in our best interest to do that. But I will tell you that now with the warrants behind us, the odds of stock buybacks have gone up quite a bit. 
Brendan Cavanagh: And Colby, on your second question about the growth rate of 9%, we expect the domestic growth rate to be very close to 9% as well with the international being higher at just north of 10%. 
Operator: Brett Feldman, Goldman Sachs, your line is open.
Brett Feldman : I think the question, we’ve seen so many large portfolios trade in the US that lot of investors think there’s not much left out there anymore. Since you still remain focused on portfolio growth, I was hoping you could just give us an assessment of what you see, are there any carrier portfolios that are maybe smaller scale that you might be interested in, and in general, do you think that there are enough privately held towers you might be able to acquire in the US that meet your return criteria or is that one of the reasons why you are thinking that you may do more and more buybacks?
Jeffrey Stoops: Well, going back years, Brett, to the time when we made the decision to go international, it really stemmed from this issue which is that we want to continue to have enough of a geographic playing field so that we could stay fully invested to our target leverage desires through portfolio growth. So as the world has progressed, there's been less and less available in the US in terms of big deals. But I will tell you and our results I think show in our backlogs and the things that we’re working on that aren't yet under agreement there's a lot of smaller opportunities there that give me great confidence that we can certainly hit the low end of our portfolio of growth goals of at least 5% or maybe more in the US. There's plenty of opportunities through building and buying to allow us to do that. And that will get weighed against international opportunities or that will get weighed against the stock repurchases and we will allocate capital that we think will result in the best long-term value creation for our shareholders.
Brett Feldman : And just a follow up, I mean to the extent you are still buying assets in the US, are you buying traditional tower assets or are you increasingly finding at rooftops or land acquisitions or things that are sort of close adjacent to what you do are also part of those acquisitions as well?
Jeffrey Stoops: No, we are buying traditional towers.
Operator: Up next is Michael Bowen, Pacific Crest. 
Michael Bowen : Couple, I guess, first, Brendan, just wanted to get clarification. I think last quarter you had stated that the international growth would be slightly more than 13% and I think a minute ago you said around – you said north of 10%. So if you could just clarify that. And then second question, there was a new antenna law pass very recently down in Brazil supposedly allowing faster deployment, and other such thing, I was wondering if you guys had – I am assuming you’ve seen it and if you could comment on how that may or may not impact the business down there that would be great? 
Brendan Cavanagh: Michael, the actual growth rate that we saw internationally just a quarter ago was about 13%. We’re projecting a little north of 10% for this year because we’re now rolling in the impact of wireline sites that we added at the end of 2013 and those we expect to frankly grow at a slower pace, because they were much lower cost sites. And we do – yes, we’re very aware of the new law, we’re optimistic, it has a shot pot [ph] feature similar to what was adopted here in the United States. The trick down there, Michael, will be due to municipalities actually embraced it and adopted and followed it and if they do it should lead to simplification certainty and speed it up new build processes.
Michael Bowen : Is there any timing on when that goes into effect? I didn’t see anything in the release that I saw.
Jeffrey Stoops: Yes, I'm not familiar with that. My understanding is it's either in effect now or to go in effect shortly. 
Operator: Next we will go to Amir Rozwadowski with Barclays.
Amir Rozwadowski : Just going back to sort of understanding your thought process around the demand environment. Certainly you are all, as you mentioned before, some building expectations that the spending in the US will be second half weighted. You folks seem to be taking a more conservative approach and not factoring that into your outlook right now. But also, we’ve got sort of Sprint deciding on what they are doing in terms of their build, T-Mobile is focusing on the build-out of the band spectrum, of course the AWS-3 spectrum auction. How do you think about sort of not just over the course of this year but over the mid to longer-term demand cycle that we're seeing right now? I mean do you expect sort of current trends that seem to be a trough spending environment to gradually improve and continue for some time or how should we think about that trajectory?
Jeffrey Stoops: Yes, we’re very very excited about the future. What is at play right now is a historic low in some of our customers’ spending which we don't think by any stretch can be or will be long-term particularly as we look at the AWS-3 rollout. So as we think about the Sprint next-generation project, the AT&T, AWS-3, the work that T-Mobile has yet ahead of it and what Verizon kind of has done on a steady basis through the years I think 2016, ‘17 and beyond are pretty exciting times. So I do believe that these current quarters that we’re in, last quarter, the fourth quarter I think are aberrations and that these will be worked through as carriers come off of their spending break and get back to their historic steady heavy investment in network.
Amir Rozwadowski : And lastly just a quick follow up, Public Safety, when can we start to see builds around that, is that factored into your outlook currently for 2015?
Jeffrey Stoops: No, it is not and we are optimistic and hopeful that by the end of 2016 we can start to see some activity. 
Operator: Thank you. We’ll now go to the line of Kevin Smithen with Macquarie. 
Unidentified Analyst: Hi guys, this is Will on for Kevin. Thank you for the question. We were just wondering if we can get an update on tenancy per tower in Brazil and maybe in the domestic market and how that's changed over the past 12 months? And then also if you had any color you said you were participating in a couple of small cell deployments. Do you have any sort of characteristics you can give us on the number of small cells being deployed for some geographic area or on a specific tower location?
Jeffrey Stoops: Yes, I will take the small cells. The deployments that we are seeing are on our towers in -- and towers that are located on the edges of urban markets. And what we've seen most commonly are three small cells, one on each base of the tower, basically it’s the word I am looking -- a sectorized installation there. We’re not involved other than through watching our investment and watching the industry yet through some of the other small cells type deployments that are going on, on streetlamps and things like that. So our direct exposure right now is through our own towers which we’re pleased to see. In terms of tenants per tower, they will not have moved at all in Brazil giving the amount of new product that we have added to our portfolio over the last year. I'm guessing we’re around 1.3 tenants per tower, 1.4, you can call Mark and get some specifics on that, and we are moving up slightly the tenants per tower in the United States. I think we’re now maybe have gone from 1.9 to 2 and on these trends which are more new leases now than they were amendments, we would expect that to continue to increase. End of Q&A
Operator: And there are no further questions at this time. Please continue.
Jeffrey Stoops: Great. Well, thanks everyone for joining us and we look forward to reporting our second-quarter results. Thank you.